Jonathan Adam Stanton: Good morning, everyone, and welcome to Weir's 2025 Half Year Results Presentation. Please note the usual cautionary notice on forward-looking statements. Today, I'm joined by our CFO, Brian Puffer. And after my introduction, Brian will lead the financial review, and then I'll cover strategic progress and outlook. After the presentation, we'll both be available for Q&A. So let me start with a reminder of our journey to deliver on Weir's compelling long-term value creation opportunity. Having completed our portfolio transformation, we're now a focused mining technology leader with unique capabilities. With our leading brands, comprehensive service model and growing range of innovative end-to-end solutions, we're helping our customers boost productivity and sustainability. We're located close to every major mine around the world, deeply embedded in our customers' operations, keeping their mines running and helping to solve their biggest challenges. Our business model and its barriers to entry underpin the track record of consistent delivery that we're building. Through Performance Excellence, we are optimizing our business, creating a leaner, more efficient and scalable Weir. We are well on track to deliver our cumulative savings target of GBP 80 million in 2026, and we are then a business with operating margins sustainably above 20% with a wonderful platform to deliver compounding growth. And now we're entering the growth acceleration phase of our strategy, underpinned by the energy transition and global demographic trends, the adoption of new digital and hardware technologies to deliver critical minerals in a more sustainable way and our own specific strategic growth initiatives. Through capital allocation, we're already shifting gears, and later, I'll talk through our progress this year with Micromine, Townley and CiDRA. Combined, these 3 key factors means we have complete conviction in making the following commitments to our stakeholders: first, growing faster than our markets, delivering compounding growth in mid- to high single digits through the cycle; second, delivering operating profit margins sustainably above 20% through our Performance Excellence program and operational leverage; third, cleanly converting our earnings growth into cash and returns and deploying it in line with our capital allocation policy; fourth, remaining highly resilient, thanks to our differentiated aftermarket-focused business model; and lastly, delivering all the above in the right way, creating innovative mining technology solutions that accelerate sustainability in mining while doing the right thing by our people and the planet. In the first half of 2025, we saw high activity levels across existing mine sites with continued brownfield momentum as customers sought to drive production growth while delivering efficiency and sustainability improvements. We invested in our business through acquisitions, positioning ourselves to capitalize on this market opportunity as the mining industry invests in a step change in production volumes and we successfully navigated impacts from U.S. tariffs. We performed strongly against our commitments to stakeholders in the first half of the year. Our revenues grew by 4% on a constant currency basis, reflecting the strength of our business and markets, and our strong book-to-bill ratio points to continuing growth. We executed strongly on our Performance Excellence program with the benefits from investments made last year in Weir Business Services, capacity optimization and lean, supporting our operating margin expansion of 220 basis points to reach 19.8% and underpinning our upgraded full year guidance for circa 20% operating profit margins. We maintained a high level of free operating cash conversion of 62% and are in a strong position to end the year within our target range. We demonstrated resilience with growth in our constant currency operating profit of 17%, supporting another year of dividend growth. And we're again being recognized for doing the right thing for our people and the planet, including receiving a Tier 1 ranking in the 2025 CCLA Corporate Health Benchmark and maintaining an A-list score for leadership in corporate transparency and performance on climate change from CDP. Taken together, the power of our transformed platform is evident in our strong execution during the first half of 2025 and reflects the outstanding efforts of our teams across the globe to whom I am extremely grateful. With that, I'll now hand you over to Brian to take you through our financial results in more detail.
Brian Michael Puffer: Thank you, Jon, and good morning, everyone. We are delighted with our financial results in the first half, which reflect positive demand in our mining markets, strong aftermarket growth and the benefits of our strong execution across the group. Orders in the first half totaled GBP 1.3 billion, an increase of 8%, driven by high levels of brownfield activity across our markets. Original equipment orders grew by 7%, supported in part by the GBP 40 million Talabre order received in the second quarter. Aftermarket orders grew by 8%, reflecting high levels of mining activity, particularly in copper and gold. Revenue increased by 4% to GBP 1.2 billion, again reflecting high levels of demand for our aftermarket spares and expendables. Over the first half, aftermarket revenue increased by 7%, while OE revenue declined as expected due to the phasing of the order book ahead of the delivery of the equipment for Reko Diq project in the second half of the year. Operating profit of GBP 237 million was an increase of 17%, with a strong step-up in our operating margins of 220 basis points to 19.8%. Profit before tax of GBP 213 million was GBP 20 million ahead of last year despite an FX translation headwind of GBP 12 million. With our strong execution in delivering this step-up in profit, we saw a 10% increase in EPS to 58.7p per share. Free operating cash conversion at 62% reflects normal working capital seasonality, and we are on track to deliver our full year guidance of 90% to 100%. Following the completion of the Micromine acquisition, net debt to EBITDA increased to 2x as expected. Return on capital employed decreased marginally by 20 basis points to 17.7%, reflecting growth of our business, offset by balance sheet effects post Micromine. We continue to remain well ahead of our cost of capital. Now turning to some commentary on each of the divisions, starting with Minerals, where we made great progress in the first half, securing a GBP 40 million order for a sustainable tailings solution in Chile. Additionally, we made further progress in key Performance Excellence projects within the division, which are building a leaner, customer-focused business and, in turn, delivered strong margin growth in the first half. Across our key commodity exposures, market prices remain well above miners' cost to produce. And with the strength of gold and copper prices, we saw particularly strong demand in these markets. And original equipment orders increased 9% year-on-year, reflecting high levels of activity in brownfield projects and the previously mentioned large order in Chile. Aftermarket orders grew by 10% driven by volume growth and a minor contribution from pricing. This was also supported by the full year recognition of the large multi-period order in North America. Excluding this impact of this order, underlying aftermarket orders grew by 7%. Revenue increased by 4% on strong aftermarket deliveries in the first half, offset by phasing within the OE order book. As a result, product mix moved more towards aftermarket, which represented 78% of revenue, up from 75% last year. Geographically, there was particularly strong regional growth in both South America and North America, reflecting increased levels of mining activity in these regions. Operating profit increased by 18% on a constant currency basis to GBP 188 million, and margins increased by 250 basis points to 21.8%. This was underpinned by incremental Performance Excellence savings as well as the previously mentioned shift in revenue mix towards aftermarket and operational efficiencies. Moving on now to ESCO, where similar to Minerals, we saw the benefits of positive mining conditions and delivered good progress in our strategic growth initiatives, gaining market share in mining GET and further growing margins. We welcomed our Micromine colleagues to Weir following the completion of the acquisition in April, with the results post completion included within the ESCO division. On a like-for-like basis, orders were stable with positive underlying demand for GET in mining and construction markets. This was offset by the phasing of dredge orders with the disruption to barge activity in the Middle East owing to ongoing conflicts in the region. Total orders grew by 4%, reflecting GBP 12 million of orders from Micromine in the period post completion. Turning to revenue, which was also stable on a like-for-like basis. During the first half of the year, we saw growth in mining and infrastructure GET, offset by the phasing of large mining bucket deliveries. Including the GBP 11 million revenue from Micromine, combined revenue grew by 2%. Operating profit at GBP 68 million was 8% higher than last year on a constant currency basis. Operating margins increased by 110 basis points to 20.5% driven by incremental Performance Excellence savings and a contribution from Micromine of 60 basis points. Now looking at group operating margins, where on a constant currency basis, year-on-year margins increased by 220 basis points to 19.8%. This was delivered despite a 20 basis point headwind from translational FX, mainly relating to deflation of the U.S. and Australian dollar, which we continue to expect for the full year. In terms of the main drivers of underlying margin growth in the year, these were: firstly, Minerals revenue mix shifted 3 percentage points from OE to aftermarket, resulting in a 90 basis point tailwind to margins; incremental Performance Excellence savings delivered 90 basis points with cumulative savings now of GBP 40 million, highlighting how strongly we are executing on the program across the group. We saw the initial benefits to margins from Micromine, which delivered 20 basis points towards margins with a further 20 basis points contribution from operational efficiencies. Together, this delivered margins at 19.8%. And with the contribution from Micromine, we now expect to achieve margins of circa 20% in 2025 despite mix headwinds materializing in the second half and further FX translational headwinds. Now briefly touching on adjusting items, which, in total, amounted to a charge of GBP 47 million. Exceptional items were GBP 31 million, GBP 20 million of which was split across the 3 pillars of our Performance Excellence program. Additionally, we incurred GBP 11 million of costs associated with the acquisition and integration of Micromine. Other adjusting items reflect the normal amortization of acquisition-related intangibles, which decreased versus last year, and charges relating to our asbestos provisions. Turning to cash flow and returns, where we delivered another strong performance. Adjusted operating cash flow was GBP 192 million with increased profitability offset by a larger working capital outflow supporting the large OE order book build in the second half of the year. Working capital as a percentage of sales was 22.9%, this being a 140 basis point improvement versus the same period in the prior year. CapEx was marginally higher than last year at 1.1x depreciation compared to 1x in the previous year. Our strong execution left free operating cash flow in line with the prior year at GBP 146 million, resulting in free operating cash conversion at 62%, reflecting normal seasonal pattern. Turning to the next slide, where free cash flow of GBP 43 million is down marginally versus last year, with the decrease mainly driven by higher tax payments, reflecting higher profit levels and outflows from the settlement of financial derivatives relating to our refinancing activities. Following the completion of the acquisition of Micromine and our strategic investment in CiDRA, at the end of June, net debt to EBITDA was 2x on a lender covenant basis, which is in line with our capital allocation policy following acquisitions. Building on the previous slide, with our existing debt profile and strong M&A pipeline, we have taken a number of refinancing actions in the first half. With our USD 800 million bond due to mature within the next 12 months, we issued a new USD 950 million bond using a portion of these proceeds to buy back GBP 667 million and GBP 150 million of our existing U.S. and sterling bonds, respectively. We expect our net interest will reduce by GBP 3 million from the refinancing, which will partially offset the GBP 25 million in interest we previously guided to, arising from the acquisitions in this year. Overall, this refinancing leaves us with a very attractive debt profile with long-dated maturities. We have recently announced our intentions to acquire Townley, a U.S.-based manufacturing company. And once this transaction completes, we expect net debt to EBITDA to be below 2x at the end of 2025, and all things being equal, delever at a rate of half a turn per year, thanks to our strong cash flow delivery. So combined with our extended debt maturities, our balance sheet is in a very good place. Later in the presentation, Jon will provide further detail on our outlook for the full year, with us expecting a year of revenue and profit growth with further margin expansion. This slide supplements that, setting out some financial modeling guidance with some specific points to highlight. Firstly, based on current FX rates, we would see a GBP 22 million full year operating profit translation headwind, mainly driven by the strengthening of the pound against both the Australian and the U.S. dollar. We expect CapEx and lease spend of around GBP 110 million and free operating cash conversion of between 90% and 100%. We anticipate an exceptional cash outflow of around GBP 40 million in the year relating to Performance Excellence and costs relating to the acquisition and integration of Micromine. And finally, as Jon mentioned, we are upgrading our guidance for full year operating profit margin from 19.5% to circa 20%, including contributions from Micromine. I'll now summarize the key messages from this section of the presentation. Conditions in our mining markets continue to be positive. We are seeing high levels of activity in our markets, and we are delivering on our strategic growth initiatives. Our customers are continuing to maximize ore production and improving the efficiency of existing mine sites, which together with ongoing installed base expansion, provide strong demand for our aftermarket products. In the first half of 2025, we executed strongly across the group, delivering growth in orders and revenue, completed the acquisition of Micromine, delivered further Performance Excellence savings, which, all combined, enabled us to deliver a significant step-up in margins. On returns, our cash conversion was in line with normal seasonality, and we delivered further growth in the interim dividend. With the completion of the Micromine transaction, complemented by the announcements of the Townley acquisition and CiDRA investment, we are building a very strong platform for further growth and margin expansion into the future. Overall, we delivered a strong financial performance in the half. And as we move through the rest of 2025, we have great momentum across the group and are confident in delivering a year of revenue growth and margins of circa 20%. Thank you, and I will now hand back to Jon.
Jonathan Adam Stanton: Thank you, Brian. In this next section, I'll share more details on our strategic progress in the first half of 2025, our view of market conditions and set out the outlook for the remainder of the year. Our strategy sets out to deliver excellent outcomes for our people, our customers and our investors. It's fully embedded throughout the organization and its 4 pillars of people, customer, technology and performance continue to guide our decisions and position us strongly to take advantage of the opportunities which lie ahead. Central to the framework is our purpose to enable a sustainable and efficient delivery of the natural resources essential to create a better future for the world. In the first half of 2025, we've made significant progress towards these aims. In addition to our successful organic strategy, we've now created the flexibility to allocate capital to compound our growth. We have clear acquisition criteria, and our focus is in 3 areas: digital solutions, encompassing software and AI, product extensions and geographic expansion. We've remained disciplined in our approach to M&A, ensuring we meet both our strategic and financial criteria. And after a quiet couple of years, I'm pleased that we've been able to make great progress so far in 2025 with deals announced across each of our focus areas. In digital, the acquisition of Micromine is a leap for Weir toward our vision to create a sector-leading digital optimization platform for the mining industry. The acquisition draws us a step closer to unlocking the full potential for digital technology to connect the full value chain from exploration to mine, to mill, deepening valuable insights at all stages of the mining and processing of ore. Micromine is a software business at scale with an impressive history of recurring revenue growth at sector-leading margins. I'm delighted at the speed at which this acquisition has closed and the level of collaboration with our new colleagues since then. I personally attended our integration workshop in Perth, Australia, where along with leaders from across our businesses, we set in motion our plan to accelerate the growth of Micromine, developing opportunities to expand the business into North and South America. We've now put in place the process, systems and incentives and are building up the sales force in these key growth regions to deliver our growth objectives. After just 2 months of ownership, we're in a great position, and I'm particularly pleased with the cultural alignment and positive customer feedback. With full access to the business, we've confirmed our key deal assumptions. And the underlying growth and quality of the business is right in line with our expectations. Following Micromine, we announced our strategic equity investment into CiDRA, a minerals processing company known principally through its flow measurement technology. Through our partnership, we have now access to CiDRA's P29 transformational separation technology, complementing our partnership with Eriez and adding flexibility to our range of separation solutions. We're particularly interested in P29 and coarse particle separation because as the ores and ore grades change over time at our customers' mine sites, the processes we utilize to extract the valuable minerals must also adapt. P29 technology is named after the atomic number for copper as this was CiDRA's initial focus for this new technology. And it's an alternative to conventional flotation that's proven that grinding at a larger particle size can increase the throughput of an existing grinding circuit by over 40%. The goal of this new agreement between Weir and CiDRA is to leverage this new technology through our transformative flowsheet solutions to help mining companies meet the challenges of reduced head grades, water restrictions, reduced carbon emissions and tailings impound safety. We're delighted to begin work immediately with our partners at CiDRA and Eriez to integrate these novel separation technologies into our redefined flowsheet solutions. Finally, in June, we announced a binding agreement to acquire U.S.-based business Townley, a leading manufacturer of high-quality engineered products for minerals processing based in north central Florida. The acquisition will strengthen Weir's presence in North America, including in the attractive phosphate market, a key mineral in modern fertilizers, essential for global food security and accessibility. Townley's U.S. foundry and manufacturing capabilities will enable Weir to drive further localization and lead time reduction within North America, aligning strongly with customer needs and completing Minerals' global casting capacity needs. The transaction is expected to complete in Q3 2025, subject to the customary U.S. antitrust approvals. Post completion, the business will be integrated into the North American region of our Minerals division. And similar to Micromine and CiDRA, the investment is well matched to our established capital allocation policy, with all of the deals expected to be EPS accretive in the first full year of ownership, and ROIC expected to exceed WACC in 2028. In addition to our acquisition activity, we continue to invest to develop the differentiated mission-critical hardware and software solutions our customers demand. And we saw some notable successes in the first half. Both Minerals and ESCO continue to grow market share in their core offerings, converting a number of field trials for large mill circuit pumps and GET against a range of competitor solutions. We're further investing in our transformational solutions, broadening the portfolio of ESCO's Nexsys next-generation GET solution and securing a key contract for our Minerals' NEXT Intelligent Solutions in Saudi Arabia. Success with NEXT was due to our unique combination of AI-powered digital technologies and deep product domain expertise, a model we will accelerate with Micromine, and reinforces our position as a trusted partner in digital transformation for the mining industry. In addition to NEXT, investments in R&D across the group are converting into commercial successes, and I wanted to share a couple of case studies on how we're putting our strategy to work. In Minerals, we announced a GBP 40 million brownfield expansion order for sustainable tailings solutions at the Codelco Talabre facility in Chile. The project will combine the thickened tailings streams from 3 major mines in the Atacama region and handle a slurry thickened to circa 70% solid content, a feed that can only be achieved using our GEHO pumps. The project is expected to have a total productive life of 20 years, creating the opportunity to reuse process water and increasing the safety and stability of the storage facility for its useful life. The Talabre project is key to creating the conditions for further capacity improvements within the process plants, a prime example of how debottlenecking projects stack up to unlock the full potential of our customers' resources. We have a strong partnership with Codelco across their mining operations and look forward to working with them as they further maximize the productivity of their assets. In ESCO, we received a significant order at Barrick's Lumwana copper mine in Zambia after several years of close partnership and on- site support. The Lumwana mine is critical to the global supply of copper, enjoying one of the largest deposits in the world. Current expansion work, including this order, look to extend the mine life by another 20 years. The order simultaneously delivered on ESCO's 3 strategic growth initiatives of extending vertically through the value chain through mining attachment sales, protecting our core by expanding the use of our GET solutions and growing the installed base of Motion Metrics' AI-enabled vision technology. These are truly great wins, and I'd like to congratulate our teams at ESCO and Minerals for their great work. Now turning to our Performance Excellence program, which continues at pace and is on track to deliver annual cumulative savings of GBP 50 million in 2025 and GBP 80 million in 2026. On capacity optimization, our final facility moves across the EMEA, and APAC regions were launched and progressing well. Continuous improvement has materialized into significant operational savings, particularly from our new configure-to-order product selection process in Minerals, driving down scrap rates and warranty costs while improving on-time delivery and lead times. During the first half of the year, we recognized the largest benefits from projects executed in 2024, including transformation of our IT and HR functions as part of Weir Business Services. The WBS transformation phase is now complete, and we move into a period of ongoing optimization. Now moving on to market commentary, and starting with original equipment. As I mentioned earlier, despite broader trade uncertainty, we saw high activity levels in our mining markets with customers increasing CapEx plans after a long period of underinvestment and early signs of an acceleration in project permitting, particularly in North and Latin America, enabled by government policy responses. The U.S. government's FAST-41 project list includes several sites under accelerated permitting schedules, including the long-delayed Resolution Copper project, which is forecast to produce 25% of the U.S. domestic copper demand if constructed. The Chilean government has likewise announced accelerated permitting reviews for a list of projects totaling GBP 45 billion required to maintain the country's position as the world's largest copper producer. In the immediate term, analysis by several banks suggest mining CapEx spend among listed miners is expected to grow mid- to high single digits through 2026 as expansion of existing mines bridge the gap to future sources of supply. On the aftermarket side, commodity prices remain favorable, especially for gold and copper. Stockpiling of those metals and a recognized supply shortage of copper, in particular, have incentivized customers to prioritize maximizing ore production and improving the efficiency of existing mine sites. Consensus forecasts support low to mid-single-digit production growth through 2026 for Weir's key commodity exposures, including copper, gold and iron ore in line with their long-run average. The aftermarket outlook also continues to be supported by our growing installed base and declining ore grades. So turning to the full year outlook, where we expect order and revenue growth to continue in the second half, supported by a strong pipeline of brownfield optimization projects. Portions of our large order received for Reko Diq last year are planned to ship in the fourth quarter. So in the second half, we'll see a large shift in mix towards original equipment, which, of course, is the foundation for our future aftermarket opportunity. With strong execution of Performance Excellence and contributions from Micromine, we upgrade our full year operating profit margin guidance to circa 20%, with second half margins absorbing the shift in revenue mix just mentioned. Absolute operating profit guidance reflects a GBP 10 million underlying improvement in constant currency, offset by greater translational FX headwinds if current rates endure through the second half of the year. We expect free operating cash conversion of between 90% and 100%, in line with our medium-term guidance as our lean operating model continues to deliver working capital efficiency. So bringing all this together, the long-term opportunity for Weir is tremendously exciting. As a mining-focused business, we are best positioned to capitalize on demand for metals and minerals essential for the transition to a net-zero economy. Our vast installed base of mission-critical equipment at mines throughout the world provides a resilient platform for growth through market cycles. We're executing really well against our Performance Excellence agenda and on track to deliver our commitment of operating profit margins sustainably beyond 20% from 2026. With our strong operating platform, we're cleanly converting our earnings growth into cash and returns. And finally, we're entering the growth acceleration phase of our strategy, where supported by acquisitions, we're delivering innovative mining hardware and digital solutions to enable our customers to scale up and clean up as the world demands ever more metals and minerals for the energy transition. So our future is bright, and the best is still yet to come from Weir. Thank you for listening. And before we head to Q&A, I wanted to announce that we will be hosting a Capital Markets event in London on December 3. The event will spotlight our digital and software strategy. And those who can attend in person will have an opportunity to interact with our digital products in addition to the webcast presentation, so I would encourage you all to attend. And with that, Brian and I will now be pleased to take any questions that you have. Over to you, operator.
Operator: [Operator Instructions] The first question is from the line of Jonathan Hurn with Barclays.
Jonathan Hurn: I just have 3 questions, please. First question was just on that sort of margin expansion to 20% for this year. I wonder if you could just sort of talk us through the bridge of how you get from that 18.8% you had last year to that 20% this year. And essentially, what differs, if anything, from the half year, which I think is probably just the reversal in mix to aftermarket? The second question is just in terms of that OE order growth that you saw. Obviously, plus 7% in the first half. You're flagging customer CapEx increasing, permitting increasing from here. So the question really is, do we see the OE cycle accelerating from here for Weir? And on the back of that, how do we think about sort of mix for Weir going forward, OE relative to AM? And then the third and final question is just on sort of Micromine. Just really sort of focusing on what you're doing in terms of selling your -- or selling that product to your existing customer base, how you're sort of accessing that and what actions you're doing to essentially accelerate that growth rate and get that product to your existing customer base?
Jonathan Adam Stanton: Jonathan, thanks very much for the questions. I'll answer the second and third one and let Brian come back on the margin expansion bridge point. So yes, on the OE growth, obviously, great to see the underlying brownfield momentum continue in the first half of the year and to land a really significant order as well in the Talabre project. So we see that continuing. All the signs, as we look forward, are getting more positive, I would say, in terms of miners' plans to try and increase CapEx from here, in terms of government responses, which I mentioned in the speech, sort of particularly in the U.S. and Chile, where we're seeing countries with large copper deposits seeking to accelerate processes to allow permitting and licensing and financing, some of the things that have held back the pipeline for a number of years, as you know, to be somewhat released. So it's still going to take time, but I think there are really positive signals in terms of that OE environment opening up and potentially accelerating from here, which is really, really good to see. So yes, I mean, as we've seen in the past, OE orders can be lumpy from quarter-to-quarter, but I think the overall environment is looking really positive. Just on Micromine, again, we're really delighted with that business now being in the group for just coming up to 3 months. Integration has gone incredibly well, great cultural fit, no surprises in terms of anything that we saw in our diligence versus what we've seen since we've had the business under our ownership. So really, really pleased with all of that. And anecdotally, Micromine did its annual global employee engagement survey in May, which was sort of planned independently of Weir's acquisition. And that was really, really positive in terms of participation and engagement, lots of excitement within the Micromine team of being part of a larger strategic. And to your question, therefore, what are we doing, well, the focus has absolutely been on saying, okay, how do we start to accelerate the revenue growth of the business, leveraging the existing Weir Minerals and ESCO footprint around the world to drive warm introductions for the Micromine team, particularly in North and South America, which are the sort of key growth markets that we see from here? So we were able to start that process really quickly. So we've set up the process, the systems. We're recruiting incremental salespeople. We're putting in place the incentivization plans for those salespeople. And we've already got the pipeline building because of all that work that we've done. So really, really encouraging. Everything is set to go. The project was essentially launched on the 1st of July, and we've got a warm pipeline of leads, which the software salespeople from Micromine are then able to pick up and convert into revenue. So really great start, and the processes are all in place to drive the additional revenue growth that we're looking for in the deal model. On the margin bridge, Brian?
Brian Michael Puffer: Thanks, Jon. Thanks for your question, Jonathan. We're very pleased to be able to announce increasing our guidance of operating profit to 20% for the full year. If you're looking at the bridge from the 18.8% to the 20%, 90 basis points is in relation to our Performance Excellence program, which continues to go strong, and that's a 10 basis point increase than what we had previously guided towards. We're also seeing operational excellence of 20 basis points, which is also an increase of 10 basis points since original guidance. With Micromine, we're seeing a 30 basis point increase, so that being new in terms of the inorganic growth we're seeing in margins. And offsetting that is some foreign FX translation risk of about 20 basis points. And previously, that was 0 in our original guidance. And AM/OE mix, we had a real benefit in the first half. We see that going back to sort of a 0 impact for the full year, but that is an increase of 40 basis points from original guidance as we see our aftermarket revenues really grow strong over the period and for the rest of the year.
Operator: The next question is from the line of Lush Mahendrarajah with JPMorgan.
Lushanthan Mahendrarajah: I've got a couple of questions as well, please. The first is just on the second half and I guess that sort of the OE comment and the phasing. I guess for the mix to sort of be neutral over the year and sort of reverse the first half, I guess you need a 2% to 3% shift to OE. So that implies quite a significant pickup. I know you've got the Reko Diq order coming through, et cetera, but can you just sort of give us some sort of steer into sort of why you're so comfortable on that sort of OE delivery in the second half and why you expect that to come through? So that's the first question. The second is just more broadly on order momentum. And we've talked a bit about OE, but just on the aftermarket side, I think on the prior call, Q1, you said you'd expect aftermarket orders to moderate to mid-single digits. I mean, do you still expect that? Obviously, a very strong Q2. So just trying to understand if that's still the base case. And then the third question is just sort of broader commentary around some of the key commodities. You talked about copper and gold, which are clearly very, very strong. I'm just wondering what you're seeing around sort of iron and nickel, et cetera, and if those things have sort of improved a little bit.
Jonathan Adam Stanton: Yes. Lush, thanks for the questions. So yes, I mean, on the OE front, obviously, I mean, the first thing to say is, I mean, really pleased to sort of see the revenue growth coming through in the first half of the year relative to a year -- last year, which was kind of stable to slightly down. So the growth is really starting to come through. Obviously, it was driven by a really strong aftermarket performance in the first half, with OE slightly down. And that was really the phasing of the order book. If you remember, we were expecting some significant orders to come through in Q4 last year and then to be delivered in the first half, and quite a few of those got delayed just for customer reasons. But they're now all in the order book. So that's really going to drive the shift, the growth in OE in the second half of the year. So I mean -- and there's nothing we're worried about there because those orders are now all in the order book essentially. So it's really about just delivering on those orders as we go through the balance of the year. And as Brian said, that means the OE growth will be stronger than the aftermarket growth in the second half of the year. So that gives a mix headwind on the margins. But clearly, with the way that Performance Excellence is going and the other positives from Micromine and so on, it's going to be neutral for the year, and we'll see that 120 basis points of expansion year-to-year to get to circa 20% in 2025, which is great. So that's really the story on original equipment. On the aftermarket orders, yes, we're really, really pleased to, again, see the strength coming through there. And it sort of relates to your question -- your third question, which I'll come on to. Remember, in the second half of the year, we're not going to get the benefit of that multi-period order. That's all in Q2 this year. So as I sit here today, I think sort of mid-single digit is probably right for the second half of the year. But clearly, we'll see how things unfold. So -- yes. And on the commodity point, I think, generally speaking, commodity prices have been really, really strong. I know there's a bit of noise overnight about copper, but gold is in a tremendous place for obvious reasons. And our gold mining customers are pushing really, really hard on production. Copper is not far off its all-time high as well. Iron ore has been a little bit more mixed, but for us, iron ore is all about the high-grade mines. And production there is, frankly, fine as far as we're concerned. And the newer high-grade mines in iron ore that we're exposed to continue to ramp up, supporting growth for us. And you get down into all of the other things that we do across the battery metals and diamonds and phosphate and everything else, then clearly, there are some puts and takes. But generally speaking, the environment is quite positive, I would say. If I take nickel as an example, clearly, what happened to the nickel price last year has significantly impacted nickel production, and therefore, our aftermarket in Australia. But the beauty of our global resilient business model, the diversification means that we're picking up orders in Indonesia in the nickel mines and refining plants that have been built there, which offset the negatives that we've seen in Australia. So net-net, there aren't many negatives around the patch, and most of the exposures that we have are in a pretty positive place. And you can -- you kind of literally see that coming through in the aftermarket orders as customers seek to drive production growth, drive efficiencies and drive sustainability benefits.
Operator: The next question is from the line of Christian Hinderaker with Goldman Sachs.
Christian Hinderaker: You've clearly been busy on the M&A front. Obviously, net debt to EBITDA accordingly has gone up to 2x. It sounded like from some of the remarks that you have ambitions, though, to do more. You mentioned deleveraging by half a turn each year as the sort of cash flow equation. If I do some math here, consensus of GBP 685 million of EBITDA next year. If you convert 90% of that half a turn gets you to around GBP 300 million of capacity. How do we think about your M&A ambitions given to that -- sorry, relative to that deleveraging cadence?
Jonathan Adam Stanton: Christian, thanks for the question. Yes, I mean, first of all, great to be able to have executed 3 deals in the first half of the year after a quiet couple of years. And it's like the London bus, you wait and wait and wait and then 3 come along, demonstrating the opportunistic nature of M&A. But yes, delighted to have made the progress that we've made in the first half of the year. And as I said in the speech that we've got essentially something in each of the 3 focus areas of digital, product extension and geographic expansion, demonstrating the breadth of focus across our strategic priorities. So moving forward, look, we're very clear. We need to keep the balance sheet within the range. So we're not going to go above 2x net debt to EBITDA. But as you say, the business is now in this cycle of continuing to throw off cash. And the company is in such a sweet spot, right, in terms of the markets that we're in, the organic growth opportunities that we're driving through the broadening out of the solutions that we have for our customers and the new technologies that we're bringing to market. So yes, if we can find acquisition opportunities that accelerate that strategy, then that's what we're going to do because I think it can add to the organic growth that we'll deliver over the next several years. So that's really very much the focus. And notwithstanding the fact that we've been successful with completing M&A in the first half of the year, the pipeline, our playbook is -- remains really strong. So we're going to continue to activate and push forward the opportunities that we've got in the playbook. Again, willing buyer, willing seller is required, but our intent is that we will continue with the bolt-on acquisition strategy that we've activated very successfully so far this year.
Christian Hinderaker: Very clear, Jon. Apologies if I missed it. Just in terms of the delivery slippage, I think it was truck bodies, but also ESCO. Is any of this linked at all to the rerouting of some of your trade routes given the tariff dynamic?
Jonathan Adam Stanton: No, not really. The only sort of trade dynamic, if you like, in ESCO has sort of been in the orders where the dredge orders sort of were weaker than we were expecting this year. Obviously, really strong growth on the mining GET side. But dredge, we were expecting to come down this year after a bumper year last year. But I think the conflict and tension in the Middle East has meant that a lot of the dredge ships have been parked up. So the activity level is lower than we expected, which has really just been driven by that regional conflict. Other than that, it's just phasing of the order book on truck bodies and the other bits and pieces. But again, the clear positive is that core GET is growing strongly. The mining segment of ESCO is growing strongly, and it's sort of phasing in the capital aspects of the business, if you like.
Operator: The next question is from the line of Vivek Midha with Citi.
Vivek Midha: My first question is on the cash flow. You're at 62% cash conversion for the first half, looking to return to 90% to 100% for the full year, as you said, driven by working capital seasonal movements. So could you maybe give us an indication of where you see net working capital to sales ending the year? Is it feasible to get to around 20% by year-end?
Brian Michael Puffer: Yes. Thanks for that question. Yes, it's a seasonality that we're seeing in terms of the build of working capital. As you said, with the big Reko Diq orders going out in the second half, we'll see working capital return back more to normal and get closer to that 20% target that you're mentioning there. We're slightly below where we were last year. But you have to remember, we delivered 102% of cash at the end of 2024, and about 5% to 6% of that was actually stealing from this year. So like-for-like, we're almost where we would expect to be at this point in time. But yes, we do see us getting closer to that 20% mark by year-end.
Vivek Midha: Very helpful. My second question is just a follow-up on that question on ESCO. You mentioned very strong mining GET. Just curious, we've heard from others that maybe some of that destock impact in the infra side of things and construction is maybe improving. Could you maybe talk about where we are on the more construction infra exposures within ESCO?
Jonathan Adam Stanton: Yes. No, good question. I should have picked that up. We've seen growth on the infrastructure side of the business for GET in the first half of the year. So -- and [ I think ] we indicated through the second half of last year that we were at the back end of any sort of stocking and destocking cycle, and we're seeing the pickup coming. That's continued in the first half of the year. So when I talk about core GET, then we have seen growth in the first half of the year of circa 7% in both mining and on the construction side combined. So that has been a positive for us in the first half of this year.
Operator: The next question is from the line of Tore Fangmann with Bank of America.
Tore Luca Kristof Fangmann: Just 1 left from my side. I think your comment regarding greenfield was very interesting. And maybe you could give us a little bit more color on this. So you say the large greenfield project pipeline seems to be accelerating, and also the permitting is improving. When speaking to a few of your competitors, it sounds like greenfield permitting can take around 10 to 15 years. So could you just quantify what does an acceleration really mean here?
Jonathan Adam Stanton: Yes. So good question, and it's one that is -- frankly is quite difficult to answer because notwithstanding government efforts in the West to try and accelerate licensing and permitting, these things are still going to take time to come through. We're just hopeful that given the political response, the government response that we've seen, that there will be an acceleration. So if you take the U.S., which I mentioned in my speech, they've put in place after the executive order a FAST-41 program, which is really, really seeking to accelerate projects, which are seen to be critical to domestic supply of natural resources in the United States. There's still work to do to work through -- they still will need the permits and licenses, but I think it's a really encouraging sign that that is happening. Likewise in Chile, where a lot of expansion projects have really been in a bottleneck over the last few years, and there's real political intent in Chile now, a desire not only to replace exhausting assets down there from a copper production perspective but also build new mines as well. So it's just really encouraging signs in terms of the government response, which was needed to eliminate some of the blockages that were in place in relation to greenfield and other large expansion projects. So I think for Weir, as I've said before, I just -- we remain in a win-win situation. So if projects come through more quickly and we can see them in the pipeline, we look at 10, 20 years ahead in terms of what the projects are out there, we've got a record pipeline today in terms of those projects. They will come when they come. But in the meantime, we're continuing to win really strongly on the brownfield momentum piece where customers are seeking to bridge to future expansion supply by driving harder and harder to increase production and productivity from existing mine sites. So either way, Weir benefits. And hopefully, we get into a scenario before too long where we've got both, which will be fantastic. It's just -- it is very difficult to predict on the OE side for greenfield expansions. But we are highlighting that there is a lot of political intent and intent among our customers to try and accelerate projects, which is a good thing after some of the delays we've had.
Operator: The next question is from the line of Edward Hussey with UBS.
Edward Hussey: Yes, I just wanted to ask about the Weir Business Services transformation. You mentioned the phase is now complete, and you're now turning to optimization. I'm just wondering whether you can give a bit more color in terms of what this means exactly.
Jonathan Adam Stanton: Yes. Thanks, Ed. We continue to drive the whole Performance Excellence program across the 3 different pillars. And you specifically asked about one of the pillars in terms of WBS. We have moved all the work that we originally planned on moving to our lower-cost locations or centralized locations. And now we're going to be optimizing the overall process to drive even further efficiencies. That doesn't mean we're going to be done in terms of what we look to move to WBS over the longer term, but it'll become more business as usual. It won't be that big heavy lift. And so one of the things we want to do is draw a line under those exceptional item treatments by the end of this year and really get into that business-as-usual phase of WBS. And that's going to be driving that continuous lean methodology that we've talked about. And as I said previously, we've now built this muscle, and we will be able to utilize that and deliver benefits going forward in the future.
Edward Hussey: Okay, that's very helpful. And then I mean just on that point, I mean, is there scope for more business areas to be sort of moved across with the process as well? Or have you sort of got the entire -- I mean, is it completely sort of as it is now?
Jonathan Adam Stanton: As I said, we'll still continue to see things moving, but it'll be at the smaller scale. It's not wholesale where you have hundreds of roles moving. But you will continue to move things, but we want to get that as business as usual. So it's not we've done it and now we're just going to stop. But it just becomes, as I said before, something that we're going to do continuously. And that will just go through our normal operations, and we'll get the benefits in the operating margins going forward.
Edward Hussey: Okay. And then just on the Performance Excellence savings for the full year, I mean, GBP 40 million run rate at the moment and then it sounds like it's going up to GBP 50 million. So the GBP 5 million that you had in the quarter, it sounds like that's going to continue as a run rate for Q3 and Q4. Is there anything that could change the run rate either upwards or downwards? I mean, is there any risk to that number being different at year-end?
Brian Michael Puffer: We don't see any risk from a downward standpoint. Obviously, we continue to try to move at pace, and we would always look to try to increase that. But at this point in time, we're not increasing our guidance on that. But I would have to say the downside risk is very limited. And if anything, it's upside risk for the second half of the year. But we're still maintaining the GBP 80 million total Performance Excellence savings by the end of 2026. But as I said before, we're not going to be done there. We're going to continue to drive this as part of business as usual. And where you'll see that going forward is in the operational efficiencies. And as you saw what we delivered this half year, what we're expecting to deliver, that's about 20 basis points that we're delivering efficiencies in terms of overall margins in that aspect.
Jonathan Adam Stanton: Just to add to that, Ed, if you think about it, if you think about those 3 pillars of Performance Excellence, the lean piece is already driving benefits, and that's really -- we just -- lean optimization really just continues. We're seeing the benefits in reduced lead times and on-time delivery and manufacturing efficiencies. That's now a program which is embedded in the business and will continue. As Brian said, on WBS to your question, we've done the heavy lift. So all of the benefits of the labor arbitrage of that coming through this year. And then that piece is really into just continued optimization, automation, standardization and just driving efficiencies, maybe shifting some other bits and pieces into it. And then on the capacity optimization, all of the major projects in terms of factory moves and rationalization have now been announced and are in flight. So we're really just in delivery phase on those projects. They're all commenced. And so the bulk of those savings will come through next year. So yes, we feel really good about our ability to deliver the GBP 80 million target. And if we can squeeze a little bit more, you know us, we will.
Operator: The next question is from the line of Mark Fielding with RBC.
Mark Lewis Fielding: Look, sort of 2 -- sort of 3 questions, please. I'll start with the really boring one, which is just on the tax rate, 29% now is the high end of my coverage group. Just thoughts about the long-term evolution of the tax rate maybe. But then probably the more interesting discussion and following up a little bit what you're saying before about the sort of improvement muscle. In terms of margins, obviously, we're going to hit 20% number a year ahead of expectations. Just how do we think about -- you're talking about the constant improvement. Do we expect to get another target? Or is it more just about stable improvement in the business, consistent increments? And the sort of half question is linked to that. Is there any sort of margin headwind that comes from -- as you say, we're trying to move away from exceptionals. So we're going to move some of those sorts of costs into the recurring cost of the business?
Jonathan Adam Stanton: Yes. I think I'll take the margin question, and then Brian will deal with the boring one, sorry. Yes, where we're positioned now, Mark, is that obviously, we're delighted we've continued to run ahead of our targets on delivery of operating margin expansion at every reporting period, as you've seen, and this is no exception. So really delighted with that. We're now saying we will be a sustainably beyond 20% operating margin company. We've got a clear pathway to deliver on that, and that's next year. Beyond that, we want to retain the flexibility. If we have a CapEx cycle, clearly, that's a headwind that we have to offset. We may see significant investment or R&D opportunities to put some money aside. And it's an uncertain world. So we might have a bit of cushion in our back pocket as well for whatever event may unfold around the corner. So we just created this sort of virtuous cycle, if you like, where everything is within our control, where if we have a year where the mix is benign, where the environment is benign, we might see further margin expansion. And in years where we need to absorb an OE shift or invest in something, we can still be a sustainably above 20% operating margin company. So that's how we're thinking about it today. And then obviously, as to the specifics of 2026, we'll guide on that early next year.
Brian Michael Puffer: Thanks, Mark. And on to tax, we're -- for the half year, we're about 28.6% tax rate. If you look at just our statutory profits and where they've been occurring and you looked at what would be the average rate we would expect, that's about 27.1%, 27.2%. We don't have many differences. We've got some credits for R&D, which helps us by about 20 basis points. But the difference between the expected statutory rate and what we're reporting at the half year is primarily related to withholding tax on dividends, bringing it -- that's about a 1.5% impact to the tax rate. And what we're doing is really utilizing that cash and bringing that cash in from around the globe because we can use that much more efficiently. So it's worth paying that lower -- slightly higher tax, I should say, on that because what we can do with that cash and put it to use. So it's not far off -- our actual rate is not very far off what would be expected because a lot of our profits are in Australia, which has a 30% tax rate, and some of the other countries which have those higher rates. And I think you had a half question on exceptionals. I'll just briefly talk about that. As Jon mentioned, a lot of the programs will be done, and so the one-off costs that we expect won't be occurring past 2025. And where we've utilized staff, we've been gradually rolling them off in terms of putting them on other projects or through the use of contractors. So it's not like we have this overhead of cost that we have to now assume back into the business. And that's why we're confident that we're going to stop the exceptional treatment and get everything more to business as usual.
Operator: Our next question is from the line of John Kim with Deutsche Bank.
John-B Kim: I'm wondering if we could just spend a little bit of time talking through the cadence of the cost-outs from here. I think I've heard you correctly that a bulk of the incremental benefit is next year. But when you think about the phasing of that, is there any color you can give us between half 1, half 2?
Jonathan Adam Stanton: Sorry, I didn't catch the first part of the question. Can you just repeat that? Sorry.
John-B Kim: Sure. So on the cost-out programs and the benefits that you're expecting for the second half and for '26, is there any sort of guidance you can give on phasing of that H1, H2 for '26 just in terms of the time of implementation and the magnitude?
Brian Michael Puffer: So with the Performance Excellence, we've delivered GBP 40 million of cumulative savings to date. We're guiding to another GBP 10 million for the second half of this year, getting us to the GBP 50 million. And then next year, we're expecting the GBP 30 million benefit, which will give us that total of GBP 80 million for the whole 3-year program. And so that's sort of the phasing of the Performance Excellence savings that we're forecasting and guiding the market towards. In terms of the exceptionals, once again, as we said, a lot of the big heavy lift of moving plant capacity or shutting plants down, that will be completed by the end of the year. So the costs associated with that would have already been occurred in previous years and in 2025. And just to guide the market, once again, we said the total cost of this program will be GBP 120 million, delivering GBP 80 million of cumulative savings by the end of 2026.
John-B Kim: Okay, very helpful. I'm wondering if we could shift quickly just to tariffs and impact on price cost. We've heard from some peers, competitors that the larger mining customers have been -- not fully accepting or a bit reluctant to accept tariff-led price increases. I'm wondering what your experience has been and how we should think about production and location on your consumables side.
Jonathan Adam Stanton: Yes. No. So the starting point philosophically for us with tariffs has been to say we want to do everything we can to limit any impact on our customers from a pricing point of view if we can do. And secondly, we want to protect our margins. So with both of those things in mind, we have a regional vertically integrated manufacturing platform, which means a network of foundries around the world. And therefore, the ability to shift our freight lines and move exports, imports to different countries to try and swerve the effect of the tariffs specifically in the U.S. So we've done a lot of moves like that to reroute production from China that was going into the U.S. to other parts of the world and produce more within the U.S. in our existing facilities there. So we have mitigated quite a lot of the effects of tariffs through doing that. Then unfortunately, there's a ramp of product that has to go from the U.S. into China or from Canada into the U.S. And then for that, we have put price increases through to customers without any sort of significant pushback. And that's on the basis that we were able to demonstrate that we've done so much within our own sort of capacity to be able to limit any prices that we're pushing through. But inevitably, there's a little bit. And more broadly, we do have some competitors for certain products who are less diversified in their manufacturing footprint than we are. So in some cases, we've actually seen it as a competitive opportunity where our competitors are having to put prices up that we can sort of not do that and then potentially gain some market share or wallet. So it's been a very complex situation to manage, but we've done it very well. And there is a little bit of a silver lining and some gain share here and there as well.
Operator: Thank you, ladies and gentlemen. I would like to pass the conference over back to the management team for closing remarks.
Jonathan Adam Stanton: Okay. Thanks very much, everybody. Appreciate the time. Obviously, any follow-up questions will be available over the course of the day, but appreciate those questions. Thank you very much. See you all soon.